Masakazu Negoro: I am Masakazu Negoro, Managing Executive Officer of Kao. I'd like to now present the consolidated financial results for the nine-month ended September 30, 2022. Please turn to Page 5. This shows highlights of consolidated financial results. Net sales grew by 10.5% year-on-year to reach JPY1,127.7 billion. Like-for-like growth was 4.9%. Operating income was JPY76.9 billion, down 29.4% year-on-year. Operating margin was 6.8%. Net income attributable to owners of the parent was JPY58.3 billion, down 28.9% year-on-year. Basic earnings per share was JPY123.82, down 28.2% year-on-year. Next is Page 6. This shows the overview of consolidated results. First, I'd like to look back at nine-month up to Q3. To offset the raw material price hikes, we implemented strategic price increases, promoted high value added products and cost structure reforms, and ramped up the TCR or total cost reduction activities. In addition to conducting measures in HP&C in Japan to increase loyalty and outperform the competition. However, due to the impact of the factors, including lockdowns and a market slowdown in China and the United States, net sales increased, but operating income decreased year-on-year. Now let me focus more on Q3. We expected a lower profit, but there were economic slowdowns in China and the United States and also in Japan. For some products, the sales expansion plan were not reached, as a result, the Q3 operating income was JPY6 billion lower than the plan. On the other hand, strategic price increases are on track. And also in HP&C, in Japan, in four core categories, we are seeing the improvements each quarter and seeing the good results. This is a positive factor. We will continue to make efforts so that we can continue to generate those good results and to strengthen the foundation. As for the shareholder returns, we completed the share buyback of JPY50 billion and retired 9.1 million treasury shares on September 28, 2022. The forecast of consolidated results remain unchanged. Next, Page 10 shows consolidated results by segment. I'd like to draw your attention to bottom right, operating income changes by segment. I'd like to briefly explain the key points in the background of Q3. First, in Hygiene and Living Care, negative impact of the raw material price hikes was JPY8.5 billion. Marketing and expenses increased in order to expand our market share. As a result, operating income decreased by JPY9.2 billion year-on-year. In Health and Beauty Care, the negative impact of raw material price hikes was JPY3 billion. In addition, there was a negative number for skin care business in the United States, and control of the distribution inventory in the United States led to the lower shipment, and operating income declined by JPY6 billion. In Cosmetics, we were impacted by the economic slowdown in China. In Chemicals, there was a gap between rapidly declining fat and oil product market price and the inventory price, which led to the losses and smaller margin. Next is Page 11. This shows the analysis of change in consolidated operating income. Analyzing the decline of JPY32.1 billion. The blue shows the profit increase and orange shows the profit decrease. To make it easy to understand, we are showing the Q3 numbers on the far right on this page. I'd like to focus on Q3. First of all, in Q3, the natural fats and oils prices declined more than expectations. But with weaker yen, we continue to see the major impact. And one characteristic here is that we spent about JPY4 billion more for marketing expenses than the year before. This is based on our plan. This is to prepare for the sales expansion in Q4. So please consider this as a strategic investment. As for the strategic price increases, they are progressing based on our plans. As for TCR, our annual target currently is JPY12 billion per year. Next is Page 12, generating results from investment for transformation into a robust business. In February this year, when we announced the FY '21 financial results, we mentioned those three areas. In stable earnings, in Japan, for laundry detergent as well as for the dishwashing detergent, our market share expanded. In fabric care, we launched new and improved products. Actually, 17 items were launched, which is more than double of that of last year, and also introduced highly added value products to improve profitability. For the growth driver, in cosmetics, we increased the percentage of focal G11 brands and steadily growing them. For your reference, during the nine-month, the Japanese market grew by 3%. Chinese market shrunk by 3%. In skin care, we are very focused on the UV care products and we expanded our market shares in Japan and Thailand. The market in Thailand is growing and strength continue. In business transformation, in sanitary products, we are focused on Asia. In large Chinese market, our Slim Guard product met with the Chinese market needs. And despite the shrinkage of the market in China by 2%, this product has grown significantly. In products for hair salons, Oribe has grown to contribute to the profitability. So we have taken the decisive measures for focal brands and categories, and we can say that we are seeing the good results from those measures. Next, Page 13, shows the impact of raw material prices on Consumer Products Business. These graphs show the quarterly changes of impact of the raw material prices, focusing on consumer products and showing year-on-year changes. Based on the August 3, foreign exchange forecast of JPY130 to the dollar, we are also showing the Q3 graph as well as Q4 forecast. At the end of Q2, we said that based on the assumption of $110 per barrel in oil prices and $1,100 to $1,300 per metric ton for fats and oils and also JPY130 to the dollar, the raw material price impact will be JPY40 billion. As a result, the oil prices came down, but petrochemical product price is linked to the domestic naphtha price. And in this equation, the ForEx impact is included. The domestic naphtha price for Q3 was JPY86,000. And for Q4, it was JPY81,400. So no major changes. Although natural fats and oil prices declined, pulp and paper and others remained at a high level. Since they are imported, denominated in dollars, there was a major impact from the currency translation. So with the addition of the currency translation of about JPY3 billion, the annual raw material price impact is expected to increase to JPY40 billion to JPY43 billion. But there are two positive factors or positive points that we can say about these graphs. One thing is that excluding the currency impact, the raw material prices probably have peaked out. The second is that in Fabric and Home Care, which uses the natural fats and oils as a main ingredient, the profitability is expected to recover. Next is Page 14. This shows strategic price increase progress and plan. Strategic price increases is progressing as planned. In Q3, in laundry detergent, we increased added value as we expanded market share. We were successful in increasing prices. Now we would expand this into other categories and promote highly added value products and increase the number of the items with higher prices. And price increase activities are expected to continue in 2023 and beyond. We are currently making preparations. Next page, this shows the effects of strategic price increases. This is an updated version of what we showed in August. The vertical axis shows the year-on-year selling price increases and decreases, and horizontal axis shows the sales volume increase and decreases year-on-year. These graphs do not include the raw material price impact. So as you can see here, for laundry detergent, as I said earlier, we promoted high value added and compact sized products and we have expanded the market share steadily. The position of the baby diapers was maintained. And for fabric treatments, we also promoted high value-added products as well as reduced product content. But unfortunately, the volume did not grow. As for Home Care, last year, we launched the Bath Magiclean Airjet, and this was a major hit. So in comparison, the position seems worse. But in Q4 this year, we launched Kitchen Magiclean foamjet, so our position of the Home Care will be moving toward the top right. Next is Page 16, aiming to achieve the consolidated earnings forecast. In stable earnings, we will promote the high value added and improved products for strong brands so that we can realize both share expansion and profitability increase, especially the brands that we focus in Q4 are shown here. Together with the sales initiatives, we would take those measures strategically. As for growth driver in cosmetics, right now, the KATE brand is drawing a lot of attention, and we will continue to offer new KATE products and also focus on the cross border e-commerce and to ramp up the local production of Curel products in China. The cosmetics will be one of the major keys for Q4. In skin care, the Biore brand, we would promote the high value added products so that we can realize the expansion of sales and the profit, especially in Q4, as shown on Page 3, after the third week of October, the market growth rate for HP&C was 5%, and the group cosmetics growth rate was 10%. And together with the new sales initiatives, we will try to capture the inbound demand and stimulate the market and push toward achieving our targets. Lastly, on Page 17. This show the FY 2022 management policies. Those policies were explained by our President, Hasebe, when we announced the financial results in February. It is too early to look back, but I would like to briefly explain the progress. First policy to change to a resilient business structure, independent of the market conditions, we expect the raw material price hikes to continue in the first half of the next fiscal year. But with the price increases, we are building the good foundation for better profitability. As for the second policy, to make strategic investments for competitive advantage, based on the business portfolio, through a decisive investments, we are starting to see some results and some of which were introduced today. And of course, some of the businesses are facing challenges need to be reformed and we will continue with that. As for the third policy, to start businesses that grow rapidly by anticipating changes, we listed some of the examples at the bottom, and they are not yet contributing to sales or profit, but we will continue to focus on those areas and please look forward through their future. And with that, I'd like to end my overview of consolidated financial results for nine-month ended September 30, 2022.
Q - :